Operator: Good afternoon, ladies and gentlemen, and welcome to the EchoStar Corporation Conference Call for Fourth Quarter 2021. [Operator Instructions] And as a reminder, this conference call is being recorded. I would now like to turn the conference over to your speaker today, Mr. Terry Brown.
Terry Brown: Thank you, operator, and good afternoon, everybody, and welcome to our earnings call for the fourth quarter of 2021. I'm joined today by Charlie Ergen, our Chairman; Michael Dugan, our CEO; David Rayner, COO and CFO; Pradman Kaul, President of Hughes; Anders Johnson, Chief Strategy Officer and President of EchoStar Satellite Services; and Dean Manson, General Counsel and Secretary. As usual, we invite media to participate in a listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. Let me now turn it over to Dean for the Safe Harbor disclosure.
Dean Manson: Thanks, Terry. All statements we make during this call, other than statements of historical fact, constitute forward-looking statements made pursuant to the safe harbor provided by the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K filed today with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I'll now turn the call over to Mike Dugan.
Michael Dugan: Thank you, Dean. Good morning, everyone. Actually, good afternoon here in Mountain Time. Welcome to our earnings call. The EchoStar team delivered another solid performance throughout 2021 with year-to-year growth in revenue, net income and adjusted EBITDA. We continue to supply the connectivity on which millions of consumers, enterprises, government agencies and communities depend. I am proud of the team's efforts and accomplishments and take pride in our ongoing innovation and industry leadership. Our agenda for the call today is to have Pradman and Anders provide updates on their business segments, followed by Dave Rayner, who will discuss our financials in more detail. From there, we will turn the call over to Charlie to address the change in management that was announced on Tuesday. We will then close, as usual, with a question-and-answer session.  Pradman?
Pradman Kaul: Thank you, Mike. I'd like to echo Mike's comments and say that I'm extremely proud of our team's performance and our financial results. Hughes' 2021 revenue and adjusted EBITDA were our highest on record. 2021 revenue increased 5%, and adjusted EBITDA increased 9% over last year. Our adjusted EBITDA margin in 2021 was 40.4%, 150 basis points higher than 2020. These strong financial results are driven by our innovative products and connectivity solutions and the efficient management of our business. We continue to focus our efforts on optimizing financial returns while investing in technology solutions to grow our business. Now let's talk some specifics on the fourth quarter, beginning with North America. We continue to manage our U.S. consumer broadband sales and marketing efforts proactively to optimize our service to existing subs. This is especially critical as we manage the business within our current capacity constraints. Not surprisingly, our U.S. subscriber base declined by approximately 30,000.  At the same time, our U.S. retail ARPU remained strong because our subscribers' bandwidth usage continue to grow. We expect the subscriber and ARPU trends to continue in the near term as consumers use more and more data, which is why we have adjusted our consumer service plans in the U.S. to offer more data and help better meet our subscriber needs. In short, demand for our service remains high as the large addressable market of unserved and underserved households persist in the United States. Our North American enterprise group had a very strong fourth quarter with more than $140 million in closed orders. These include upgrades and extensions with 7 major customers and the addition of an exciting new brand in the restaurant market. That customer selected a full stack of solutions from us, representing a true business partnership as we manage their networks to help them achieve their business goals. The value of our enterprise solution set was reinforced once again by industry-leading placement in the Gartner Magic Quadrant for global managed service providers and the Frost & Sullivan Radar report. Both our defense and civilian government teams were very active in Q4. In the defense market, we had a major award wins within popular defense to provide a stand-alone 5G private network at a navy base. For this project, we are in the position as the prime contractor integrating technologies and services from numerous partners to deploy secure 5G capabilities for base operations. We also secured wins in both the federal and state markets with both new and expanded procurement contracts for multiple state agencies. As part of our OneWeb program, we saw the successful completion of a major milestone and the deployment of 8 gateways, enabling initial service launch in November. We are planning on a very active '22 as we complete the gateways that enable OneWeb to expand their coverage areas. Now let's talk about our international operations. Similar to the U.S., our Latin American consumer offering has become capacity constrained in certain markets, and our subscriber base declined by approximately 18,000. We continued our efforts to realign capacity requirements on a per subscriber basis, which we anticipate will improve customer satisfaction and continue to drive higher ARPU across all countries. In Q4, we crossed 1,000 active sites in Colombia in support of a digital divide project and this deployment continues to grow. In addition, we were awarded a number of projects in Peru, Colombia, Chile and Mexico. We have also now crossed more than 2,000 active community by 5 sites. We are making progress on our plan to increase the yield on our capacity through a mix of high-value subscribers, community WiFi and enterprise opportunities. We completed the formation of our joint venture in India with Bharti Airtel, now operating under the Hughes Communications India brand. With unmatched reach and scale, the company is the largest satellite service operator in India, that position amid the changing regulatory environment to serve the converging connectivity requirements of business and government customers with an enhanced product portfolio and operational efficiencies. We also announced a 6-year strategic agreement with OneWeb to provide LEO connectivity services across India. Hughes India will deliver the services to enterprise and government customers providing network design, equipment, installation, operations maintenance and help their support. We anticipate these Hughes services to begin in 2023. In terms of system sales, we had a number of new wins. In Mexico, 2 satellite service providers selected the JUPITER system to provide services to more than 3,000 sites. In Asia, a maritime client ordered more than 8,000 JUPITER remote modules to be integrated into maritime terminals and operated on a single network. In Indonesia, the total number of sites deployed in support of a government service program has now crossed more than 2,007 of backhaul sites. Eutelsat has continued to expand its network deployment over the Konnect satellite. Finally, our JUPITER 3 satellite continues to progress. Based on an updated information from Maxar, we anticipate the satellite to launch in the fourth quarter of 2022. The satellite will leverage the latest innovations to lower our cost per bit and increase our capacity and performance with higher-speed service plans. We continue to build out the ground infrastructure that will enable services on JUPITER 3. So all in all, it was a very strong year, and I look forward to another productive year in 2022. Let me now hand it over to Anders.
Anders Johnson: Thanks, Pradman. Good afternoon. EchoStar Satellite Services revenue for Q4 was $5 million, up from the fourth quarter of last year. We remain focused on pursuing Ku-band revenue opportunities as the transponder capacity market continues its slow recovery. ESS backlog was $10,400,000 as of 12/31/21, up 55% from last year. Our EchoStar Global 3 satellite is now in use as a test platform for the development of our global S-band capabilities. In December 2021, our European subsidiary, EchoStar Mobile's development partner, Sequans, a leading provider of cellular IoT chips and modules, announced that LTE Band 65 support is now available on its Cassiopeia LTE advanced platform.  The enablement of Band 65 in Sequans chips and modules lays the foundation for EML's commercial development efforts in multiple areas during 2022, particularly in the air-to-ground networks and in unmanned aerial systems. EML continued live testing of LoRa-LR-FHSS technology over EchoStar XXI from multiple locations across Europe. Supported by our development partner, ProEsys, EML continues to see very encouraging results, both in fixed and mobile testing. In March, EML will present at the LoRa Alliance's World Expo in Paris. At that event, EML expects to formally announce the launch of an alpha service to EML's early adopting -- adopter partners across Europe. We continue working on multiple fronts towards our long-term strategic objective of taking 5G to the next level through the full integration of S-band satellite services into global 5G networks, providing truly seamless worldwide hybrid connectivity. I'll now turn it over to Dave.
David Rayner: Thank you, Anders. As usual, my narrative will include comments on adjusted EBITDA, which is reconciled to a GAAP measure in our press release. Consolidated revenue in the fourth quarter was $499 million, up $9 million compared to the same period last year, driven by our Hughes segment. Hughes equipment revenue increased $19 million from higher sales activity to both domestic and international enterprise customers. Hughes service revenue decreased $10 million, primarily due to the lower U.S. consumer subscribers. Consolidated adjusted EBITDA in the fourth quarter was $160 million, a decrease of 4% from last year. Hughes adjusted EBITDA in Q4 was $178 million, down by $10 million from the same period last year. The decline in Hughes adjusted EBITDA was driven primarily by lower gross margin due to the change in revenue mix as well as higher selling, general and administrative expenses. Corporate and other adjusted EBITDA was a loss of $21 million this quarter compared to a loss of $24 million last year. The primary driver of the lower loss was lower corporate spend, primarily on legal expenses, partially offset by lower earnings of unconsolidated affiliates. Net loss was $80 million in Q4, a decrease of $77 million from last year. The decrease was primarily due to the impairment of our DISH Mexico equity investment in the fourth quarter, up $55 million; losses on investments of $50 million in the quarter; and unfavorable changes in foreign currency exchange rates. These items were partially offset by lower net interest expense of $19 million. Capital expenditures in the quarter were $86 million compared to $114 million in Q4 last year. Free cash flow, defined as adjusted EBITDA minus CapEx, was $73 million during the quarter, increasing $20 million from the same period last year. Inflation began to impact our operations in late 2021 as we have experienced increased costs in certain functional areas, including field services and customer care that are labor-intensive. We are making every effort to minimize this impact to our operations and protect our margins. In the fourth quarter of 2021, we bought back 1.2 million shares of our stock in the open market at a cost of $30 million. Our balance sheet remains strong, and we continue to seek opportunities to deploy cash for growth. Let me now turn it over to Charlie before we go to Q&A.
Charlie Ergen: Thanks, Dave. I just wanted to join the call to thank Mike for your service. Mike and I started working together in 1990. So it's been a long road together. Most people probably don't realize just what important part Mike played in terms of DBS business and our satellite fleet. He was really the architect of our digital set-top boxes and engineering and all the satellite stuff that we did. And of course, obviously, is a long tenure here at EchoStar when we split that company off. So a job well done, Mike, and thanks for all your loyalty and effort in where we're going. But at the same token, we're excited to have Hamid Akhavan starting with us, brings a different set of skill sets that we've had here in the past. He is certainly a very technically competent who -- individual engineer who will certainly understand many of the things we do from an engineering perspective. But he brings also experience in the private equity business and his experience in telco. And we think those are all areas where, given our cash position and given our satellite fleet and where we think connectivity goes, we think those are all things he can be very, very helpful with. So with that, who do you -- are we taking questions?
Michael Dugan: We're turning it over to questions. Operator?
Operator: [Operator Instructions] And first question comes from the line of Rick Prentiss of Raymond James.
Rick Prentiss: I'll echo my congrats, Mike, on your career, and enjoy your upcoming retirement.
Michael Dugan: Thank you.
Rick Prentiss: A couple of questions, probably target them to Charlie since you've joined us today for the EchoStar call. 2 Charlie opportunities for me today. The top question we got yesterday was obviously the new CEO announcement. Can you help us understand, does anything change with the EchoStar story with Hamid coming in? And what do you see as the top 2 or 3 priorities you want him to focus on? And I'll go with the top question today [indiscernible].
Charlie Ergen: Is that question for me?
Michael Dugan: Yes.
Charlie Ergen: Well, I think he brings a different background. And I think what we've been able to do over the years is put a lot of strategic things in place. And we have a strong balance sheet, particularly for this industry. There's lots of opportunity out there. And whether that be consolidation within the industry or whether that being new places to go. So -- and he brings an expertise -- kind of a rare expertise that he's got, both private equity experience and technical experience. So I think he's able to -- will focus the company on the areas that we think we need to go. I think just a broad perspective, the areas we have tremendous opportunity. If you look at it as we're a connectivity company, we've done well with satellite, but there's tremendous opportunity terrestrially. There's tremendous opportunity to tie in satellite with telco. There remains -- we've been asleep. We haven't done what we needed to do in areas of growth such as Department of Defense and where there's -- where we're not as big a player as most in our industry. There -- we know from -- the private networks are going to become a big part of where companies go, and we have a lot of expertise and technical ability there. And we have a new generation of satellites going up with JUPITER 3 that not only can bring connectivity to consumers, but in the enterprises. But also it's a -- from what I know about that the -- wireless business also provides [indiscernible] to do backhaul for telco. So all those things get mashed together, and he brings great experience to that. And it will be -- and I think that it will be important for the people who are shareholders to get to know him and get to know he's very strategic and get to know him and ask this particular question to him. We'll give him 60 days. So I think for the March conference call, you get a chance to ask him all those things directly. Actually, he won't get 60 days.
Michael Dugan: He'll get 30 days.
Charlie Ergen: He'll get 30 days, which is plenty of time. We have a rule here that you can blame the other guy for 30 days for anything that goes wrong. So Mike is going to get blamed up until April 30, and then nobody can blame Mike for anything. But he'll get blamed for everything for 30 days. But after that, it's all [indiscernible].
Rick Prentiss: Top question we're getting today, obviously, just top down significantly. The market is not getting what we think we see as opportunity. You guys, I think, see the opportunity given the stock buybacks. Maybe just need to have an Analyst Day like the DISH announcement. That seems to really get the market excited today. As you think about EchoStar strategically, Charlie, and you mentioned Hamid's got that strategic sense, what are the benefits to being public at this point? Given the large cash balance, you guys have been buying back stock and the market doesn't see what I think I see. And I'm being told so many days, I must be stupid then. What are the benefits to being public?
Charlie Ergen: Well, advantage of being public is just liquidity. I mean it's liquidity and access to capital markets maybe in a more robust way than you would get. That normally by being public, if your stock was trading at a better multiple, you also have a currency from an M&A perspective. That's not the case, obviously, with EchoStar. We -- there's -- EchoStar is not in a situation they can use stock for M&A transaction, although they have cash that they can. So those are the benefits of being public. Obviously, the company has bought back some stock. We look -- when the Board looks at the investments we can make, the company has been willing to buy back stock based on just the value and the multiple that we see out there. So I think internally, we're a bit more confident than perhaps Wall Street is.
Rick Prentiss: The last one for me then is it's come up a couple of times. Last quarter, I think Steven [indiscernible] on the DISH call brought it up as well. How do you view how EchoStar and DISH can work together? And when can it become more obvious to the marketplace and what that might mean?
Charlie Ergen: Well, there's a lot of cross-pollinization in terms of opportunity. So I think we'll see more of that. Again, I would say it a couple of ways. Satellite, I believe when you -- if you look at connectivity, you're not going to do that around the world without satellites. And EchoStar Hughes, in particular, are -- you have a real expertise in satellites, particularly geosatellites, but that's a big piece of where connectivity has got to go. And the world is changing a little bit with LEOs and MEOs, and we have a pretty good understanding of that, particularly as we've been a strategic -- our engineering partner for OneWeb, which is really one of the first massive LEOs. So we gained a lot of expertise there. So there's a lot there. Then there's -- obviously, DISH is focused on the terrestrial side of the business. And so when you put those 2 things together, those 2 companies that know each other in the same hometown and have a lot of expertise to work together, that doesn't mean that EchoStar Hughes won't work with others, and it certainly doesn't mean that DISH would work exclusive with EchoStar. But I'd say a lot of times, we see opportunities at EchoStar, and we realized that it might be beneficial with DISH or vice versa. And so I think -- I just think you'll see opportunities for both the companies going forward, maybe in a way that we haven't in the past.
Operator: Next question comes from the line of Chris Quilty of Quilty Analytics.
Chris Quilty: I've got a -- maybe a tough, but I think important strategic question. So stick with me here. Historically, the space industry has been geo-centric. And when we look at your strategy with the JUPITER series of satellites, you've gone down that path. But only partway arguably, your principal competitor, ViaSat, didn't order 1. They're building 3, and they were already planning for a ViaSat-4. And they're making a bid to acquire to already design ViaSat -- excuse me, they're already developing a ViaSat-4 and making a bid to acquire another geo operator in Inmarsat. On the flip side, many of the traditional GEO operators have taken up a LEO strategy. So Intelsat announced a MEO strategy. SES is building one and operates one. Telesat is building a LEO, and Eutelsat investing in one. And then you've got other LEO broadband players in SpaceX and Amazon and now you've got Mangata and ESPa.CE. So my question is this, you're one of the better capitalized companies or the best capitalized company in the industry, and yet you've run into this problem with -- time and again with your JUPITER strategy where you've run out of capacity way too early. So my question is, is it going to happen again? We're going to have a good period here for a year or 2 where you're going to grow and then we're going to sit and wait for 2 years. Or do you understand the landscape enough or have enough conviction that you can put some of that capital to use and pick a path? And which path is it?
Charlie Ergen: Yes. I think that's a great question. And I'll give you a little color about it. The -- first, we have tried to acquire some companies. And certainly, when our stock performed better and had better multiple, we were able to do that. When we were -- we made offers for Inmarsat in the past that actually exceeded where they actually end up selling. And obviously, since there's a big stock component of where they actually sold, that the prices come down a fair amount from what they sold. So it wasn't for lack of trying, but we weren't in a situation in this particular time to bid for Inmarsat because the equity -- the multiple is so low on our side that -- and a full cash offer wouldn't have approached the price that they got. The LEO -- so the -- and you're exactly right, JUPITER will go up, you get some growth, and then you'll mature in short -- in a period of 2 or 3 years. And you have to continue to build GEOs or -- which have long lead times, or you've got to go a slightly different direction. So that's really a great -- that's why we really had a unique candidate in Hamid because I think he crosses some of those bridges for us. But on the LEO side, the part that's given us pause is there's so many LEO projects that it's hard to determine who might win there because I don't think all of them will. That's number one. Second, in the economics for LEO, you're over water over 70% of the time. So you're going around the world, you're not necessarily getting economic gain 70% of the time with your fleet. And the third thing is it's unclear to me that the economics that Starlink is such a big player. There, they have a different set of economics. The people value that company to a very high value. They have owner economics on launches. And if you have to compete against that and something similar, I'm not sure that the ordinary economics in the short run are very fair to somebody who has to compete against that particular constellation. So you're going to have to let that kind of sort its way out. And so I think there's other opportunities that might be equally or more rewarding, but certainly less risk. I think that's we're a little bit more focus there. Although we are a very, very small owner in OneWeb, and we certainly understand, technically, we certainly work with them to make sure that we know -- we think the economics there work well, absent a different set of economics for other players. Certainly, Amazon -- with Amazon with launch capability and Starlink with launch capability, may have a different set of economics than what the normal marketplace has. Having said that, Europe has indicated they're going to launch -- they may launch their own LEO system. So one never knows where it goes. But it seems like the risk-return ratio there for us at the moment, we're better off selling the picks and shovels to the players and maybe not being the gold digger.
Chris Quilty: Understand. So specifically on the GEO market, is there any reason to not, at this point, commit to a large high-throughput satellite for the Indian market, given the fact that the regulatory environment has finally come into view or certainly close enough into view that even if something went totally haywire with a software-defined satellite, it can go someplace else? Or are there other factors that lead you to think you still need to wait longer to submit to that market?
Pradman Kaul: Yes. Chris, this is Pradman. Clearly, we are looking at that very closely right now. We seek the need for more capacity. Capacity is a limiting factor for our growth right now. And so we're looking at different ways to get capacity. And all of what you and Charlie were just discussing are based to do that. I think the optimum configuration that we believe is going to win out in our business is a combined LEO-GEO strategy because, as you know, the GEOs are very good for high-density coverage of very dense population areas and we get the lowest cost with the GEOs of that. But then to provide coverage to a large area, the LEOs are very important. And I think you'll see from our perspective, over the next 5 years, systems being deployed with this LEO-GEO architecture, which will optimize the problem of efficiency in the LEOs and density in the GEOs. So when you look at that, do we have the money to do that? The answer obviously is yes. Do we have the partnerships all over the world that will be needed, like in India? The answer is yes. And I don't think, compared to any other company today in our business, there's nobody better situated to deploy these kind of multi-orbit, multi-transport constellation. So I think that's where we're going to be headed. And we hope that we can use our existing partnerships to do it or we can own some of the assets that are needed to operate in this area.
Chris Quilty: Got you. And maybe a follow-on question to the earlier one I had on what follows JUPITER 3. And a question on technology. Have you sort of been able to define the path that you go there? Is it just a bigger, badder version of JUPITER 3 that, that's the future? Is it moving towards different frequency bands like a V-band or a Q-band? Or are you a fan of some of the optical technology that's now gaining traction primarily on optical cross-links? But is there a clear path at this point? Or do you think you need to wait until you can launch, operate, test and see the performance of JUPITER 3 before making some sort of a technical commitment?
Pradman Kaul: Yes. I don't think, Chris, that it's a technology issue in terms of inventing something new. I think JUPITER 3 has tremendous advances in technology. I think my personal opinion is that the next step is going to be the multi-transport technologies. But we'll mix GEOs and LEOs to get the most efficiency of our networks. And so we could take the JUPITER 3 technology and take it to the next step and get a terabit of technology of our bits in there. But that by itself is probably not the most optimum use of our assets. So we have to create these partnerships where we can combine LEOs and GEOs and build new types of constellations as the next set of investments we'll make.
Chris Quilty: Understand. Shifting gears over to Anders, it sounds like you're getting closer to locking in sort of a technical design on your side. Can you give us a little bit better sense of where you see the market opportunity and perhaps relative to some of your peer competitors like Omnispace and Eutelsat that are also operating somewhat adjacent models?
Anders Johnson: Yes. Well, Chris, we continue to pursue sort of parallel development paths. So we've got a couple of things running simultaneously. Obviously, our efforts with LoRa appears technically to be proving quite valid as far as our original hypothesis, and we're very excited about where that's going. We're also working independently with a couple of other specific applications that are not as universally adaptable, but hold a lot of market promise because while the markets we'd be participating in don't exist yet, there's a lot of money chasing their development. And one specifically, which I mentioned, is the unmanned aerial vehicle market, both for package delivery and other purposes, which we're getting in early with certain development partners who are in the process of creating the whole ecosystem. So we're trying to position S-band as one of the go-to frequencies given its lack of existing uses and, therefore, our ability to deliver a secure communications channel without a lot of interference issues.
Chris Quilty: Great. And so I don't know who to direct this final question to, but I guess here, I've just argued for you guys spending a lot of money on a lot of different stuff or at least those are some of the opportunities in front of you. And who is going to make those decisions, whether to invest in a small sat, S-band, constellation versus big iron, high throughput satellites or M&A? I mean how do you balance these out in terms of capital deployment versus Rick's idea of just taking the damn company private?
David Rayner: Yes. This is Dave. I'll try and answer that, Chris. I think the decision is obviously -- starts with management and goes up through the Board, the deployment of serious capital. I don't think, right now, we're limited to the cash on the balance sheet. We've obviously got, as you guys well know, we're virtually debt-free at this point on a net basis. So we've got the ability to lever the company if we see multiple opportunities, but it's up to management to recommend direction to the Board, and the Board has been very supportive to date. And I don't expect that to change with the new CEO.
Chris Quilty: Got you. Well, welcome onboard, Hamid, and maybe not a fortuitous quarter to jump onboard unless you're pricing your stock option stay, I guess. So [indiscernible] looking forward [indiscernible].
David Rayner: I mean just to be clear, he's not with us today, and his start date is March 31.
Operator: Next question comes from the line of Michael Rollins of Citi.
Michael Rollins: I was curious to focus on the topic of broadband infrastructure funds that are becoming available at the state level. I'm curious if you could discuss the opportunity for EchoStar to potentially participate and apply for some of those funds. I'm curious if you could share your sizing of the opportunity for EchoStar.
Pradman Kaul: Well, obviously, it's a large opportunity, and it's something we are focused on trying to get a piece of. Unfortunately, the terms of the methodology of distributing the funds has favored significantly the terrestrial alternatives. And satellites have not been a major benefactor of these funds. But I think the guys have worked it hard and maybe the tide is turning a little bit in the government to make the playing field a little more level so that we get an opportunity to bid competitively without being disqualified just because of latency or speeds, et cetera. So again, this is an example of where the GEO-LEO solution can offer a competitive solution because when they ask for low latency, the LEOs obviously provide that. When they ask for high speeds, the GEOs have 100 megabit plus, et cetera, offer that capability. And we are hoping the rest -- the newer programs get funded and defined that we will be able to get a piece of our -- of those subsidies.
Michael Rollins: And do you have some experiences that you're able to share where you've had a good participation rate of subscribers in a particular geography with your satellite services and a fiber or terrestrial alternatives have come into that market? Do you find that your services are still generally sticky for the subset of customers that you've been targeting? Or do you find that there is some negative effect or falloff from competition in the cases where that might have happened?
Pradman Kaul: Yes. The answer is yes because it depends on the geography and the density of subscribers in a certain area. If you look at where satellites work, it works very well in the unserved and underserved areas. So areas generally in unserved and underserved, because it doesn't make economic sense to deploy fiber or other technologies at that time in satellites, are very effective in meeting that need. So that's where we've deployed ourselves. We haven't lost many subs to competing technologies. So when we look at our churn factors and why the customers have churned out, whoever has churned out, it's not dominated by people going to different technologies. It's a whole bunch of other reasons. So I think most of the subs that we get, we have a good sticky -- stickiness in that. And I don't expect that to change dramatically over the next few years.
Operator: Next question comes from the line of Rick Prentiss of Raymond James.
Rick Prentiss: Yes. I appreciate some follow-up. One mundane one. In the fourth quarter, Dave, you called out that there was higher SG&A in the quarter. Can you help us understand what that was? And is that something we should consider run rating? That's the new back to normal level?  Or was there something out of a period that we should be aware of? And then I've got a strategic one.
David Rayner: No. I think the run rate will be a little bit better than what we had in the fourth quarter in that regard. We had some higher-than-normal costs in certain line items because of some unique circumstances. So I would expect SG&A to be a little bit better, at least over the next couple of quarters. As we get closer to the JUPITER 3 launch and the initiation of new services, I would expect to see some selling and marketing costs start ramping up. That would be later in the year, obviously, as we approach the launch, just getting ready for that new capacity coming online.
Rick Prentiss: And then obviously, a lot of frustration in the marketplace today as investors are trying to figure out, as Chris kind of jumped on there. I'm trying to understand, what is the strategy? What's the game? What's the plan? Charlie, I thought you said it really well today when you said, well, we had a bank shot on Auction 110. We got our strategy in place at DISH. We've got our spectrum in place at DISH. I think people -- and we're going to have an Analyst Day at DISH May 10. I think people look at EchoStar and trying to say, when can we start getting a view from the outside of what EchoStar is doing? What's the time frame? Is it 3 months, 6 months, 3 years? When can we have that kind of more clarity on the decision process? And also from another [indiscernible], who I guess don't like giving guidance, but we've had a lot of companies start giving guidance. ViaSat gave some guidance. Aspirational targeted, here's what we want to grow revenues and EBITDA at over a multiyear period. AT&I out of Massachusetts gave guidance for the first time really ever. DigitalBridge is giving a lot of guidance to help investors understand what can be somewhat complicated stories to at least understand from a high level what investors should expect. So I know I wrapped into that question, but I'd love your thoughts.
Charlie Ergen: Yes. This is Charlie. My perspective is a couple of things. One is just thinking, Board of Directors has been asking those exact same questions to the management and taking a very active approach there because they're all good questions. And management has, based on the fact that I'm involved with the company, probably a little bit more than an average Board member, there's a lot of pieces there that -- between Pradman and Anders that we have there. I think the difference is that -- I think the first step was really, as Mike is retiring, to bringing somebody who brings a skill set that kind of -- that can kind of bring all those things together. And so you have to have a good technical background, but you also have to have a business background, and he brings those things. So there's not a question that the Board has directed him in his first 30 days, really, besides getting to know the people, is to review all the strategic initiatives that we have. And then I would expect that he probably will focus on 1 or 2 of them and then convince the Board that, that's where we need to go, and that's where we'll go. I see -- I personally see 3 or 4 things that I like. But I'm not -- as a Board member as opposed to day-to-day management, that you have to dig into those things, and you have to really play those things out. So -- and again, the thing that -- the biggest question mark I have is, what are the economics for a SpaceX that might -- where the marketplace values that in a different way economically than maybe a traditional finance guy like me would do it? And what you don't want to do is go compete against the richest guy in the world who's got a different set of economics even though you have a better technology. I mean you would lose that every time. So I see a lot of interesting things out there, but I personally think that some people are going in the wrong direction. And we just want to make sure that we think that through. And when in doubt, there is no doubt, which is you shouldn't commit billions of dollars to something that's cut those kind of risk. So I think we're doing the right things at the company. I think we've got good leadership coming in. And I think we have lots of strategic things we can do. And I think that you'll see over the next -- you'll probably start getting a little feel next quarter because I think you'll see some, but probably realistically is the end of the second quarter before you see this company able to roll out a better vision or articulate a vision of where they're going to go. And I think a lot of the things that I worry about in the marketplace are going to kind of sort their way out by then as well. Somewhere between the May conference call and the August conference call, one of those two, you'll probably get pretty good -- probably August, you'll probably get a pretty good feel. You'll probably get a sense in May. Because it's a part of a question to ask. I mean it's exactly the same thing any shareholders should be asking.
Terry Brown: Yes. Operator, so we'll probably just do a quick final comment here and then shut the conference down.
Michael Dugan: Yes, we're kind of running out of time. I just want to thank you all for your support over the years. I appreciate Charlie's comments. We have worked together longer than I've been married. So it's been a long time. So -- and I've learned a lot. I am committed to Hamid. Just to be clear, I was part of the interview process. And I'm very excited to see him come on board. I'm going to remain on the Board. And told Hamid and the Board, I'll make myself available as he needs me to, to get him up to speed. So I'm excited about what's coming, and let's see how it goes. Thank you. Thanks for joining.
Operator: Thank you so much to our presenters and to everyone who participated. This concludes today's conference call. You may now disconnect. Have a great day.